Operator: Good afternoon. My name is Aaron, and I will be your conference operator for today. At this time, I'd like to welcome everyone to the Q2 Holdings Fourth Quarter and Full Year 2024 Financial Results Conference Call. [Operator Instructions] And with that, I would like to turn our call over to Josh Yankovich, Investor Relations.
Josh Yankovich: Thank you, operator. Good afternoon, everyone, and thank you for joining us for our fourth quarter and full year 2024 conference call. With me on the call today are Matt Flake, our CEO; Jonathan Price, our CFO; and Kirk Coleman, our President, who will join us for the Q&A portion of the call. This call contains forward-looking statements that are subject to significant risks and uncertainties, including, among other things, with respect to our expectations for the future sales operating and financial performance of Q2 Holdings and for the financial services industry.  Actual results may differ materially from those contemplated by these forward-looking statements, and we can give no assurance that such expectations or any of our forward-looking statements will prove to be correct. Important factors that could cause actual results to differ materially from those reflected in the forward-looking statements are included in our periodic reports filed with the SEC, copies of which may be found on the Investor Relations section of our website, including our annual report on Form 10-K for the full year of 2024 and subsequent filings and the press release distributed this afternoon regarding the financial results we will discuss today.  Forward-looking statements that we make on this call are based on assumptions only as of the date discussed. Investors should not assume that these statements will remain operative at a later time, and we undertake no obligation to update any such forward-looking statements discussed in this call. Also, unless otherwise stated, all financial measures discussed on this call will be on a non-GAAP basis. A discussion of why we use non-GAAP financial measures and a reconciliation of the non-GAAP measures to the most comparable GAAP measures is included in our press release, which may be found on the Investor Relations section of our website and furnished with our Form 8-K filed today with the SEC. We have also published additional materials related to today's results on our Investor Relations website. Let me now turn the call over to Matt.
Matthew Flake: Thanks, Josh. I'll start today's call by sharing our fourth quarter and full year results and highlights from across the business. I'll then hand the call over to Jonathan to discuss our financial results in more detail and provide guidance for the first quarter and full year before I conclude with a look ahead to 2025. In the fourth quarter, we delivered results above the high end of our guidance, generating non-GAAP revenue of $183 million, up 13% year-over-year and up 5% sequentially. We also generated adjusted EBITDA of $37.6 million, representing 20.6% of non-GAAP revenue, an improvement of approximately 630 basis points of adjusted EBITDA margin over the prior year quarter. We closed out the year with outstanding sales execution in the fourth quarter, posting the best bookings quarter of the year and the second strongest bookings quarter in the company history. Our bookings performance was powered by a balanced mix of net new and expansion wins, highlighted by 7 total Tier 1 and enterprise deals and was the best cross-sell as well as the best renewal quarter in company history in terms of total bookings. In particular, we view the renewal success as a strong indicator of customer satisfaction, the strength and differentiation of our platform and the overall value we're delivering for customers. Our fourth quarter sales performance underscored a great year for our business. We capitalized on a favorable demand environment with very strong sales across the board. We help customers address a wide range of challenges and opportunities across retail, small business, commercial and fraud management, leading to a record year of renewal activity, and we delivered consistently strong financial results that have us well on pace towards our 3-year framework. After a record bookings year in '23, we followed it up with another strong year of well-rounded sales performance. Overall, we signed 25 total Tier 1 and enterprise deals are most ever in a single year. And within digital banking, we drove significant volume in the Tier 2 and 3 space as well. In fact, we signed nearly twice the number of digital banking deals in these segments as in the year prior. Our ability to compete effectively in both areas is a testament to the breadth of functionality we have across retail, small business and commercial use cases and the reputation we've built up market over the last 20 years. Complementing our success with new and expanded relationships, we also achieved a record-breaking year for renewals with bookings from renewals up 80% year-over-year.  This solid execution demonstrated the resilience and growth of our customers in a challenging market environment as well as their reliance on and confidence in our technology to support their strategic initiatives. Also, there's no question that Q2 Innovation Studio is playing a large role in our sales success. Innovation Studio continued to be a valuable differentiator in net new sales, being cited as a key reason we wanted more than 90% of our wins in 2024. Throughout the year, customer and partner adoption also reached new levels, leading Innovation Studio bookings to more than double year-over-year. On the relationship pricing front, we signed a number of meaningful new customers in the Tier 1 and enterprise segments to continue to expand and renew our existing relationships. We've talked about the ability for these products to price the entire commercial relationship, not just loans. And that was key throughout the year in a volatile rate environment as new and existing customers purchase modules to price non-lending products like treasury services. We enter 2025 with solid momentum and are optimistic about the demand environment in the year ahead. Our risk and fraud solutions have a tremendous year as well. Thematically, fraud is one of the most pressing topics on the minds of virtually all of our customers. Because of the vital role our technology plays, our customers look to us to help them manage fraud across the retail and commercial account holder life cycle from authentication to in-app behavior to payments and more. In 2024, our solutions helped mitigate more attempted fraud with our customers than ever before. And from a bookings growth standpoint, our fraud solutions are one of the fastest-growing solution sets. Given the heightened priorities being placed by mitigating fraud in our end market, we expect to continue to see healthy demand for these solutions, and we believe we're in a great position to help our customers rise to the challenge in 2025 and beyond. A key driver of our sales performance throughout the year was the breadth of our platform, which gives us a natural expansion opportunity with existing customers. And because we spent 20 years building a strong customer base, that opportunity is significant, take our commercial customer set, for example. While ACHs and wires were in our first lines of code back in 2005, we spent more than 10 years investing heavily in building out our commercial functionality and user experience. And as a result, we've been successful delivering and supporting some of the largest and most sophisticated financial institutions in the country. Today, we have more than 60 Tier 1 financial institutions that utilize our commercial digital banking solutions. The result of significant innovation, investment and sales success. But that means we still have approximately 50 Tier 1 digital banking platform customers that do not use our commercial functionality today, representing a meaningful expansion opportunity to cross-sell commercial digital banking, and that's just one example. This dynamic powered our record year of renewal and expansion success is a key reason we did such a high volume of Tier 1 and enterprise deals. Because of this single platform dynamic, we continue to expect expansion to play an increasingly important role in 2025 in addition to our continued momentum on the net new side. In summary, we delivered strong financial results in terms of growth and profitability in 2024. We significantly outperformed our expectations in the first year of our 3-year financial framework and successfully reached our Rule of 30 goal on a total revenue basis in the second half of the year. Before I hand the call over to Jonathan, I'd like to take a moment to recognize the announcement of an addition to our Board of Directors. I'd like to take this opportunity to welcome Andre Mintz to the Q2 team. Andre brings a wealth of experience in global privacy, cybersecurity and financial technology, having held senior roles at Meta, Newport Group, Red Ventures and Microsoft among others. His expertise in data protection and compliance, particularly in the financial services sector will be invaluable to Q2, and we're excited to add his perspective to our Board. Andre officially joins the Board on March 1. I'll now hand the call over to Jonathan to cover our financial results in more detail and provide an updated outlook for 2021.
Jonathan Price: Thanks, Matt. We're pleased to announce fourth quarter and full year results that outperformed our guidance, and we delivered strong results across several key metrics, which demonstrated continued execution of our profitable growth strategy. We've seen robust growth in our subscription-based revenues, advances in our operational efficiency and noteworthy improvements to our cash flow generation. Furthermore, we believe our record backlog and solid subscription ARR growth positions us well for continued success in 2025 and beyond. With that, let me start by discussing our financial results in more detail and conclude with guidance for the first quarter and full year 2025 as well as providing an update to our 3-year financial framework. Non-GAAP revenue for the fourth quarter was $183 million, an increase of 13% year-over-year and up 5% sequentially. Total non-GAAP revenue for the full year was $696.5 million, up 11% from the prior year. The year-over-year and sequential increases for the quarter were primarily driven by subscription-based revenues, resulting largely from the delivery of new customer go-lives and additional solutions with existing customers.  In addition, our sequential revenue growth benefited from an increase in onetime professional services work in the fourth quarter. Our subscription revenue growth for the full year was 16% and represented 79% of our total full year revenue. Based on the strength in subscription-based bookings, we observed throughout 2024 we would expect the mix of subscription revenue to continue increasing as a percentage of our overall revenue mix in 2025. For the full year, our services and other revenues declined by 11% year-over-year. As we've mentioned previously, this downward trend is largely attributable to a decrease in our professional service revenues, which tend to be more discretionary in nature. Given the consistent pattern we've observed throughout 2024 coupled with our strategic emphasis on pursuing higher margin growth opportunities, we expect similar trends within our services segment to continue for the foreseeable future. Total annualized recurring revenue, or total ARR grew to $824 million, up 12% year-over-year from $735 million at the end of the fourth quarter of 2023. Our subscription ARR grew to $682 million, up 15% year-over-year from $594 million in the prior year period. In anticipation of the tough year-over-year comparison against our largest bookings quarter in company history, we previously communicated expectations of subscription ARR growth in the fourth quarter of 12% to 14% year-over-year. On the back of the bookings success in the quarter, we were able to exceed that range and delivered 15% annual subscription ARR growth in the fourth quarter. Our year-over-year subscription ARR growth was largely driven by bookings from net new customer wins as well as cross-sold solutions with existing customers. Our total ARR growth continued to be pressured relative to our subscription ARR growth by the decline in professional services based revenue we previously discussed. Our ending backlog of over $2.2 billion increased by $189 million sequentially or 9% and $387 million year-over-year, representing 21% growth. The year-over-year and sequential increases were driven by bookings success across new cross-sell and record renewal activity. Our renewal performance was strong in both the fourth quarter and the full year 2024.  The fourth quarter of 2024 marked our strongest single quarter ever for renewal bookings, culminating in 2024 as the best year for renewals in company history. For the full year of 2024, the total dollars added from renewals increased by 80% from the prior year. And in the fourth quarter alone, we renewed 10% of our entire digital banking customer base. As we have mentioned previously, the sequential change in backlog may fluctuate quarter-to-quarter based on the number of renewal opportunities available within that quarter. Our trailing 12-month total net revenue retention rate for 2024 was 109%, up from 108% in 2023. This rate reflects the continued strength in subscription-based revenue from our existing customers, offset by the expected decline in discretionary services-based revenue as we previously indicated. When looking only at our subscription-based revenues, our subscription net revenue retention rate ended the year at approximately 114% compared to 112% in 2023. Our revenue churn for 2024 was 4.4%, improving from 6.1% in 2023. As expected, heading into the year, we observed a reduction in overall churn, and our digital banking churn was well below 5% as we experienced record renewal strength. Gross margins were 57.4% for the fourth quarter, up from 56% in the prior year period and from 56% in the previous quarter. Both the year-over-year and sequential increase in gross margin were driven by an increasing mix of higher-margin subscription-based revenues and increased efficiencies within our delivery and support functions.  Gross margins were 56% for the full year, up from 54.5% in the prior year, representing a 150 basis point improvement. This margin expansion was driven by an increasing portion of subscription revenue in our overall mix, coupled with enhanced operational efficiencies from our global workforce. Total operating expenses for the fourth quarter were $75.4 million or 41.2% of revenue compared to $74.8 million or 46.1% of revenue in the fourth quarter of 2023 and $72.6 million or 41.5% of revenue in the previous quarter. The year-over-year and sequential improvement in operating expenses as a percent of revenue was derived from increased scaling across all operating expense categories, with G&A showing the biggest year-over-year improvements. We ended the year with 2,483 total employees, up from 2,315 total employees at the end of 2023, with the majority of additional resources onboarded within our delivery and customer support functions. Total adjusted EBITDA was a record $37.6 million, up 62% from $23.2 million in the prior year period and up 15% from $32.6 million in the previous quarter. Full year adjusted EBITDA was $125.3 million, up 63% from $76.9 million in the prior year, with adjusted EBITDA margins up by approximately 570 basis points as we continue to mix towards higher-margin revenue streams and drive operational efficiencies across the business. We ended the quarter with cash, cash equivalents and investments of $447 million, up from $408 million at the end of the previous quarter. We generated cash flow from operations in the fourth quarter of $43 million, driven by improved profitability and favorable seasonality. For the quarter, we also generated free cash flow of $37 million, resulting in free cash flow for the year of $107 million. This represents an 85% conversion rate as a percentage of adjusted EBITDA and which is well above our previously set targets. This better-than-expected conversion rate was attributable to increased focus on profitability across all business units, streamlined operational processes and effective working capital management. Let me wrap up by sharing our first quarter and full year 2025 guidance. We forecast first quarter revenue in the range of $184 million to $188 million, resulting in full year revenue in the range of $772 million to $779 million, representing year-over-year growth of 11% to 12% for the full year. We forecast first quarter adjusted EBITDA of $36 million to $39 million and full year 2025 adjusted EBITDA of $165 million to $170 million, representing 21% to 22% of revenue for the year. In addition to this current year guidance, we are also updating the 3-year financial framework we set last year for 2024 through 2026 with our revised targets as follows: we are lifting the average annual subscription revenue growth from approximately 14% to approximately 15%. As previously communicated, we anticipate full year 2025 subscription revenue growth of at least 15%. And while the growth outlook for 2026 will be dependent on execution throughout the year, our early expectation is that subscription revenue growth for 2026 will be approximately 13%. We Additionally, we are increasing the average annual adjusted EBITDA margin expansion to approximately 360 basis points as compared to the midpoint of the prior range. And finally, we are increasing our full year 2026 free cash flow conversion target from greater than 70% to greater than 85%. As indicated by the targets in this updated framework, we are focused on eventually achieving and exceeding a subscription revenue rule of 40 as a sustainable long-term objective. We are updating this framework based on our strong first year performance and our belief in our ability to execute against these targets over the next 2 years. Furthermore, our business model provides us with a high level of visibility. And when coupled with our robust pipeline, it has further informed these updated targets, positioning us for strong subscription revenue growth. In conclusion, we delivered better-than-expected results for the fourth quarter. We've updated our previous 3-year financial framework to raise our average subscription revenue growth, average annual adjusted EBITDA margin expansion and free cash flow conversion targets and believe we are well positioned to continue capitalizing on the demand we are seeing in the market while executing against our profitable growth strategy. We're excited about the momentum we've built and are confident in our ability to continue delivering strong results in 2025 and beyond. With that, I'll turn the call back over to Matt for his closing remarks.
Matthew Flake: Thanks, Jonathan. As we kick off 2025, I continue to have tremendous confidence in the future of the business. 2024 was a great bookings year across the board, highlighted by another year of Tier 1 and enterprise success record performance in Tiers 2 and 3 and a solid year for our relationship pricing solutions, all of which is powered by a highly differentiated solution set. We also had a record year for renewals and which we believe validates our road map and reinforces our customers' trust in us as a strategic partner in their digital transformation. Even with all the booking success, our pipeline remains strong, and gives us good visibility into continued sales momentum, particularly in the first half of 2025. We expect the demand environment to remain positive and with our improved win rates in 2024 compared to the prior year, we believe we're well positioned to build on our sales success from the last several years. With our strong financial performance and progress towards our 3-year framework, we believe we're in a great position to continue to deliver value to customers, employees and shareholders in 2025 and beyond. Thank you. And with that, I'll hand it over to the operator for questions.
Operator: [Operator Instructions] Our first question for today comes from the line of Terry Tillman with Truist Securities.
Terrell Tillman: Matt, Jonathan, Kirk and Josh. Congrats on the strong bookings in the fourth quarter. Two questions. I won't guarantee they're single parters. But the first one is a multiparter on this with Wells Fargo that I think you all press released, is this relationship pricing? And how meaningful is the proportion of the total PL business relationship pricing? And are there potential synergies with just commercial digital banking deals?
Matthew Flake: Kirk, your team did it. Do you want to talk about the success of it and we can...
Kirk Coleman: Yes. Thanks, Terry. This is a really exciting opportunity for us. This is a deal we talked about in this call a year ago in terms of the win that we had in the fourth quarter of '23. And getting something that's live in under a year is really a testament to both teams. It also points to the deployability of that product, something we've been focused on. This puts us at about 9 of the 15 largest banks in North America are using PrecisionLender and so we look forward to building on that.
Jonathan Price: And Terry, just on the second part of your question, It's Jonathan, just to be clear, the relationship pricing terminology really is how we're thinking about the PrecisionLender business as a whole. So the color we've given historically about PrecisionLender, that when we say relationship pricing, that is that business, how we're talking about it and really based on the fact that we're not just pricing loans with that solution, we're looking across the entire relationship the institutions have on the commercial side. So hence, the reference to relationship pricing.
Matthew Flake: And as far as the commercial digital banking side of the business. We haven't found a lot of crossover from a product perspective. But having a master agreement with a lot of these customers, whether it's for digital banking or for PrecisionLender, them understanding the way we treat our customers, how we respond to the company, there's some intangible value to that, that we get out of those relationships. And so -- it's open doors for us, and we've been able to win, and we're also seeing expansion opportunities within existing customers for the product, but the product that -- there's not a lot of synergies between the two of them.
Terrell Tillman: Okay. And just a follow-up, it's going to be simpler. People always are intrigued by big deals. It's the people really hang our hat on that. But as you look into '25 and you said strong pipeline, how would you characterize the reliance potentially on large Tier 1 enterprise deals versus the volume and velocity Tier 2, Tier 3? Does it seem much different than potentially what happened in '24?
Matthew Flake: Yes, Terry, if you remember, coming off of '23, we had, I think, 4 of the top 10 biggest deals in the history of the company. We told the Street that we were looking at probably skewing more towards Tier 2 and the volume and which we said in the earnings call, we signed more Tier 2, Tier 3s in '24 than we did in '23. But we still did 25 Tier 1 and enterprise deals, which I believe is a record as well. If I look at '25 and the pipe ahead, I think you're still going to see a steady flow with the Tier 2s and 3s. And I don't want to front run it, but these are probably back half, but I think you're going to see us get back to some of those larger enterprise deals above $25 billion in assets as the year develops, but we'll still have success in the Tier 1 space, $5 billion to $25 billion as well. So it's a pretty balanced pipeline right now, which feels good going into the year. But there's a lot of work and execution that has to get done. These things are not -- whether it's a Tier 3 or enterprise, they're not easy to get done. But I've full faith and confidence in the sales and success team to knock them out.
Operator: Our next question comes from the line of Alex Sklar with Raymond James. Your line is live.
Alexander Sklar: Jonathan, first question maybe for you. You're taking up the TAM to $20 billion. It looks like kind of 15% TAM growth over the next couple of years. Can you just talk about some of the biggest drivers behind that market growth? And how we should think about the puts and takes for Q2's growth relative to those market levels?
Jonathan Price: Yes. So when I think about the changes, I think some of the areas that are clearly in there now that have evolved over the last couple of years in particular, we have a much clearer view of our opportunity set when we talk about our fraud products and Matt mentioned that at length in the call. And we're really excited about the success to date and the opportunity set there. As we think about our Helix business, when we think about now with the fabric opportunity the ability to really bring that product inside the financial institution landscape and capturing the opportunity set there, that was another driver of that. And then the final thing is just as we've sort of crystallize our entire catalyst line of business across all the commercial products, including commercial digital banking and PrecisionLender and everything around that from a commercial standpoint. Those are the areas that have the fastest growth from a market perspective and that had the biggest impact on that change in TAM.
Alexander Sklar: Okay. Great color there. And then maybe for Matt or Kirk, but a lot of commentary in the prepared remarks about the progress selling that full digital banking platform across customers who had started with one of retail or commercial. 75%, I think you said still don't use both. So can you just kind of talk about like what are the gating factors? Could that get up to 80%, 90% over time? What are the puts and takes there for adoption? And how are you going to market to those customers that are still only using one solution?
Matthew Flake: Yes. The comment here is we have 110 customers that are digital banking customers above $5 billion and 60% of them are only using one either commercial or retail. And so we have -- the sales and success teams are locked in, going and trying to cross-sell the other product into them. The single platform drives a lot of value. You provide a great customer experience. The financial institution is more likely to do business with you, and we've seen that play out. The challenge with it is these are big projects. They have to have the budget. They've got to be prepared for it and they kind of have -- they've got other things they're working on as well. But it provides me a lot of confidence as we think forward to the coming years of the ability to convert some of those deals and get them live. And it's easier to get them live once you've got one of the products in there because you've got the integrations, you've got the network set up and everything else. So it's a huge opportunity for us, and that's why we highlight it.
Operator: Our next question is from the line of Joe Vruwink with Baird.
Joseph Vruwink: When you think about your customers benefiting from deregulation, how do you think that plays into strategies that might end up involving your technology? And is there a right time frame to think about when that could manifest in bookings benefit above and beyond the strength you've already observed?
Matthew Flake: To some extent, the deregulation when or as it occurs, will allow them operating efficiency, fewer people to have to follow all the regs. It will also hopefully help with their ability to transact if they need to do an M&A, pick up banks. All of that will be a tailwind for us. And the energy behind the banking and credit union community is they have -- they're pretty optimistic about things as we sit here today. So all of it should be a tailwind for us. The direct correlation between the deregulation in digital banking, maybe not. But the fact that there's less burden on the financial institution. There's still a lot, even if you take some of it out, but their ability to go focus and make these decisions and spend less time on regulatory things is a positive for us. It's less distracting for them. So all positive on our end.
Joseph Vruwink: Okay. That's great. Just on the updated 3-year average financial targets. I think you've done a nice job in structuring these where the out-year budgets embed a fair amount of conservatism. And obviously, that gets rolled up into an average calculation. I guess as you triangulate on that 2026 number and thinking about the 13% sub growth, also the margin expansion. We're getting closer to the estimates -- consensus estimates that are out there. I just wanted to maybe revisit your guidance philosophy and how you think about performance that could happen over the next 12 months, still may be driving upside to what's embedded for 2026?
Jonathan Price: Yes. Thanks, Joe. I'll take that. So yes, as we set those targets, we -- our business model affords us a fair amount of visibility even looking forward 2 years. And it wasn't long ago, third and fourth quarter of last year on those calls. Where we talked about the shape of bookings and the mix leading us to a fair amount of larger deals that were going to go live in late '25 and into '26. So we do have a fair amount of visibility into '26. Happy to say to the discussion earlier with Wells and a couple of other deals. We've actually gotten a couple of the bigger deals live faster than we anticipated on both the digital banking side and the PrecisionLender or relationship pricing side. So I think that's given us a more clear view of '25 and confidence in that number. But then as we think about '26, there's a fair amount of impact from the execution that we have here in the next 12 months. whether it be hitting our bookings plan or whether it be the mix and shape of those bookings that will impact 2026 above and beyond what we see today. So that's the kind of thing that could drive upside performance to the 13% that we talked about or the EBITDA implied guide in '26. And at the end of the day, as we think about modulating between investing to elongate that subs revenue growth at these elevated levels, that's really sort of what we're giving ourselves room to manage here as we get through '25 to ensure that we have that right balance totally in line with our profitable growth strategy that we've been talking about for the last couple of years. So hopefully, that addresses your question.
Operator: Our next question comes from the line of Alan (sic) [ Adam ] Hodgkiss with Goldman and Sachs.
Adam Hotchkiss: I guess to start, Matt, just on bank IT spend priorities in '25. There's a lot of talk about lending volumes picking back up, particularly on the commercial side and banks being a little bit more offensive in their thinking. Just curious how you think that impacts you guys, if at all?
Matthew Flake: Well, I hope it picks up for the banks for their sake. But deposits are still at the center of what runs the bank and the discipline around acquiring the deposits, wanting to use a commercial platform that's competitive with what Bank of America, Wells, Chase rollout is important. And so if you think about what happened in 2012 to 2022, a lot of these banks were signing the loans were weren't getting the operating accounts. Now they have a discipline around I need the operating accounts and we're going to do the loan. And so that is what's driving this. So loan volume picks up, you'll see more operating accounts come in, but they want to have a competitive commercial product to get that. And we are squarely in the middle of -- if you look at win rates, our success over the last 7 or 8 years, especially upmarket in the commercial banking product, I think we're well positioned to do that. So what's going to come with the loans are the operating accounts, and they're going to have to have a product that's competitive with the banks I mentioned as well as others, and that's where we sit right now. So I think I'm hopeful that the lending environment picks up. But I think that's going to be a tailwind to us as well.
Adam Hotchkiss: Okay. Really helpful. And then just on that point, what's the barrier to you guys in cross-selling commercial? I know it's obviously, a much more complex product for financial institutions. So what's worked for you in the past and what gives you confidence on continuing to be able to do that with new FIs and existing customers going forward?
Matthew Flake: Some of it is we're able to talk about 58% of the Fortune 100 most profitable banks use our platform, 42% of the top 200 Forbes credit unions use our platform. And so banks look to other banks when they're making these decisions, and we have more than anybody that can point to the success and the happiness that they have when they're on the product plus the value that they get, the ability to use it to compete. And so in this environment, when we've done X number of deals with certain core and done the conversion, the challenge that they go through is the risk of moving their crown jewels of the business to a new system, and it's hard, it's complicated, and it's fraught with risk for those that haven't done it as much as we have. And nobody has done more of those in the modern era, which is what I call since the mobile phones -- since smartphones have come out than us. And so we're able to lean on that, plus we have -- if people can look at the product, the screens, but there's also an operating component to this. Do you have the ability to convert somebody off of the system that they've been on for a long time. How many times have you done it? We've done it 10s to 20s of times with almost everybody in the space as a competitor. And then you have people there that can process files, wires, an operating discipline around that. We've built that over time, and it continues to be something we invest in. So those are the things, when we get into a sales process that we can point to that we've done, and it's not something that a bank or credit union is going to take a risk on when they have to move the most important clients that they have to a system. So we're going to lean on that. That's been our story, our reputation, and we're going to continue to do that. And I think it differentiates us in the sales process, as you can tell from the bookings for the last couple of years. So we're just going to continue to rest on those and be competitive.
Operator: Our next question is from the line of Andrew Schmidt with Citigroup.
Andrew Schmidt: Good results here. I wanted to touch on just the longer-term EBITDA outlook and similar to a question was asked earlier, just outlook philosophy when it comes to the out year 2026. Maybe talk through, are there investments that are kind of contemplated there? Is it more prudence when we think about just the out year from an EBITDA margin perspective?
Jonathan Price: Yes. Thanks, Andrew. It's a little bit of both. There are definitely investments, especially in some of the product areas I mentioned before, whether it's fraud, innovation studio, fabric, commercial functionality where we have planned investments, and we need to continue to expand our feature function and capabilities overall in those areas. But we're also leaving ourselves room there to be able to make further investments as we see the year play out and we see opportunities across the business. So I feel good about our ability to achieve those targets. Obviously, we're looking a couple of years out as we think about giving color on '26 today, but have a lot of confidence in those, but we do have planned investments in there, but we also need to be able to modulate between, again, further investments to elongate that growth curve versus driving as much profitability as we can for shareholders.
Andrew Schmidt: Absolutely. That makes a lot of sense, Jonathan. I appreciate that. And then maybe on the Tier 2, Tier 3 step up, it's really great to see that. Can you talk about just the drivers there? Is it more shots on goal, win rates, combination of those factors? Can you just elaborate on what's driving that uptick there, that would be helpful.
Matthew Flake: Yes, Andrew. I think it's a function of, as I said earlier, these banks are trying to get the operating accounts. It's not an environment where you have a loan for 2%. It's easy to get, it's not you make your money. You've got to get the operating accounts and you have people that are running a legacy technology that doesn't work on mobile phones. They don't talk to each other. You've got separate devices. And when you're trying to get the operating accounts of somebody who's with 1 of the big 4 or P&C. They're not going to move to the legacy tax systems. And so for us, we're able to walk in a chill them a product that's up and running. We've got hundreds of customers on it. We've done it for 20 years. We're very comfortable with these conversions, as I talked about earlier. And they have to have. They've got to go get these commercial deposits. They're the most of the stickiest, they're the most profitable, you can grow them. And that's what's driving this demand environment. Win rates were slightly up from '23, which we had a great '23. And Tier 2s and 3s are really -- some of it, the demand came to us because they're looking for these products, and I think that's going to continue in '25.
Operator: Our next question comes from the line of Charles Nabhan with Stephens.
Charles Nabhan: Congrats on the quarter. I wanted to ask about free cash flow. It's good to see the increase to the cycle guide, and it sounds like a lot of that is attributable to working capital improvements and operating leverage. But I wanted to ask if there's been any changes to your expectations for CapEx spend? And then secondly, as a follow-up to that, I wanted to hopefully get some color around your capital allocation priorities, specifically, where you're investing in product, what's on the product road map? And if M&A is still part of the consideration?
Jonathan Price: Yes. Thanks, Chuck. So firstly, yes, really pleased with the free cash flow conversion. I mean the team did a phenomenal job when it comes to a whole bunch of under the waterline processes to drive better conversion when it comes to free cash flow. And so we had just phenomenal DSO performance, especially in the fourth quarter to record levels, and that's a big part of it on top of, obviously, the profitability that you see in the business today. So there is no change from a CapEx perspective. So still a very CapEx-light business and would expect that to continue going forward. From a capital allocation perspective, organically, I think it's very much in line with what we talked about earlier, some of the product areas that Matt talked about, whether it's fraud, whether it's the entire apparatus around Innovation Studio, ensuring that we can build out that partner ecosystem and support those partners and drive adoption by our customers and their end users as well as areas like fabric and commercial functionality. And that's where our organic investment and capital allocation is focused and relationship pricing, especially on the treasury on the deposit side of the operations there. We're just seeing a lot of opportunity to price that entire relationship. When it comes to inorganic opportunities, I think clearly, the balance sheet strength, the free cash flow generation will set us up well to have that optionality. Nothing has changed from what I've shared over the last really year or plus of we get a lot to look at when it comes to the pipeline of M&A opportunities. We're seeing a lot, not a lot of assets that we've been either enamored by from a quality perspective or where we would get there on valuation. So those things all need to come in line for us to be confident around an M&A deal, and we're going to be prudent there, given what it means in the bet and how effect of your execution has to be when you do an M&A deal. So it's certainly part of the long-term picture, and we think we're in a great position to be a strategic acquirer. But we would only do it if everything sort of lined up and made sense strategically and financially there.
Charles Nabhan: Got it. Appreciate the color. And as a follow-up, I wanted to ask about professional services. It looks like that line was down about 11% in '24. And it sounds like the expectation is that it will be down at a similar rate in '25. I wanted to get your thoughts on the discretionary consulting piece and some of the assumptions underlying that outlook. Is that an area that could potentially come back over the next year or 2 as a result of deregulation and/or consolidation in the bank space?
Jonathan Price: I mean, I guess I'll say, baked in the assumption is that we do not see a rebound in that. Is it theoretically possible over the next couple of years? Yes. But we have not seen an indication of that behavior from our FI sitting here in early 2025. When you think about sort of the pace at which interest rates are not moving down as maybe as quick as people had anticipated, we are not seeing sort of a pickup in discretionary spending. We still see a lot of those same pressures even on deals from a first quarter perspective here in 2025, where our customers are trying to be careful about decisions around length of contracts, scope of those contracts, in some cases, pushing those. So all the evidence we have sitting here in Q1 is that we see those same pressures around discretionary. But there are certainly things you could see that maybe that could pick up later in '25 or into '26. That's not what we're seeing yet though.
Matthew Flake: Probably just to add that if the demand does come back, we're going to be very selective in terms of how we choose to grow that business back. We want to make sure we're doing with high-quality, long-term intentions.
Charles Nabhan: Got it. I recall there was some rationalization of that customer base a couple of years ago as well.
Operator: Our next question is from the line of Michael Infante with Morgan Stanley.
Michael Infante: Hopeful color just on the renewal bookings growth of 80%. I know you have had some improvement on the pricing front versus historical trends. But if you had to apply some form of rough attribution or directional framework on how the mix of that bookings growth sort of builds up between incremental cross-sell attach price and contract duration extension. I'm just trying to think about some of the drivers of the FY '26 subscription revenue growth aside from the fact that the comps get tougher and I'm sort of wondering if that is just some assumption on normalization of some of the renewal dynamics, which obviously have been really strong.
Jonathan Price: Yes. I'll hit that last point first because I think that's really important. When you think about where we were coming into 2024 around our subs growth expectation at 13% was the original guide. A huge part of the driver of that progression towards what ended up being 16% for the year was the pull-in of out-of-scope renewals with the economics on those renewals and just really, really strong performance on the cross-sell side relative to expectations. So as we think about that here in '25 and even rolling forward into 2026, there is some persistence to our strategy and how we're thinking about pricing and packaging, both on the cross-sell side and the renewal side. But as we lay out our plans for this year and start to think about what it could mean for next year, we're not assuming a significant level of out-of-scope renewals coming in every year way beyond normal. Like we have a good history and data set to benchmark that off of. So theoretically, that would be your upside driver. I don't know that I would call that conservatism. I would just call it working off of the data we have today sitting here 2 years out from a full year '26 full picture. So when we think about our opportunity term and tenure of these deals really hasn't changed. We're still averaging 66 months. So I wouldn't say that's an incremental driver. It's really coming from the amount of renewals that are coming in outside of the plan in a given year that we saw in '24 and then the economics and the discipline we're showing on those renewals when it comes to pricing. And those are things we certainly hope to be able to pull in renewals and we -- our customer success team does a great job in positioning the value proposition and the customers are seeing that, and we're seeing the benefit of that. But certainly, on the pricing side, we hope to attain like better economics and maintain that level of discipline going forward. And so those would be the drivers that could lead to anything above what we already have provided for the '26 outlook.
Michael Infante: That's helpful, Jonathan. Maybe just on the terminal pricing structure within digital banking. I know this is primarily a seat-driven model. I'm just trying to think through with the acceleration that's contemplated just in bank M&A. I know you obviously tend to be a beneficiary there. But you obviously have a lot of levers at your disposal to offset less steeper headcount growth within the industry, both with contractual minimums, inflation escalators and cross-sell attached. But how do you sort of think about the conditions under which you would consider shifting the pricing model towards more of an asset-based pricing consumption model over time versus seat? And how far away do you think we might be to that, if at all?
Jonathan Price: And just to clarify, Michael, was the question about digital banking?
Michael Infante: Yes.
Jonathan Price: Yes. So digital banking, we price on a user base, remember, so like your baseline, there are certainly tiers from an asset perspective, but the underlying driver is number of end users. And so that is a practice in the industry for this product. That is a model that we are able to capitalize as our financial institutions grow and get more digital adoption. And that is very different than a seat-based model. So we don't have a lot of products that really work on a true seat-based model.
Kirk Coleman: As M&A occurs in that market, right, you're basically accruing more customers under a single logo. So that's part of the economics that help. That's a tailwind for us when there's a lot of M&A in our customer base.
Jonathan Price: Yes. And so we would look and they would look to negotiate what is the combined user count look like relative to existing minimums, and we negotiate that, but that would be an upside driver to the economics of the deal after a transaction.
Operator: Our next question is from the line of Parker Lane with Stifel.
J. Lane: Matt, you called out the continued success of the fraud products. And I was wondering if you could sort of break down the success of that along the lines of desire to deprecate legacy tools, improvements in your own capabilities there or just a greater emphasis on the part of the end market. What is contributing the most to the success you're seeing there?
Matthew Flake: I mean it's -- unfortunately, since the pandemic when you drove, when utilization of digital banking products went through the roof, the weakest point is the end user, the account holder of the financial institution, commercial or retail. And so what's going on there is you have account takeover, you have all these different things that are happening, we have tools to stop the authentication to make sure we're authenticating the right people, and then we have tools that monitor their behavior, who they pay when they pay, how much they pay, then we have tools to monitor the ages or the files actually accurate. I don't want to get too much into the weeds there, but -- and then check fraud has gone through the roof as well, which is a little alarming. So it's just -- for every dollar of fraud, it costs the financial institution $4. And so we've had products that have been in existence for 20-plus years, and we've got products that we've started building machine learning tools. We started building in 2008 and '09. We have products we've built since then, along the way, they're stopping fraud in so many different ways. And so we've invested heavily in it. Our customers have a tremendous amount of confidence in this in doing that. And the single platform gives you a better view. We're able to take all 24-plus million users plus all the commercial customers use that data as a tool. The single platform has a lot of value there, plus the innovation and the products we have around it, just -- it's not a wholesale fraud stop, but it is when you have one system an advantage over having multiple systems that have multiple entry points, multiple databases, different places to go to. So we have an intrinsic differentiator in the way our platform is designed and how we work with our customers. So a lot there, but fraud, unfortunately, has just kind of gone through the roof since the pandemic and the increased utilization of digital products.
J. Lane: Got it. And one quick one for you, Jonathan. If I heard you correctly about -- I think it was about 10% of the digital banking base renewed in the quarter. Just what share of that was out of scope renewals? I know you talked about that earlier, but didn't necessarily quantify it. Is that something you could quantify?
Jonathan Price: Yes. It's not something we would quantify externally just because it's not something that we see consistently quarter-to-quarter or year-to-year. What I would say though is both in the quarter and in the full year, we saw more out of scope renewals than typical. And so that was a driver of that. But again, seasonally, Q4 is the strongest renewal quarter. That was obviously the case again. And a good chunk of that base was in scope and was part of the plan. And then when you take in the out of scope on top of that, obviously, it led to a tremendous quarter and 10% given the length of these deals in one quarter is obviously way above normal.
Matthew Flake: Yes. The customer success team just knocked it out of the park. And that doesn't happen in the fourth quarter. It's the work they put in, in '23 and '24 to get in front of these customers, talk about the other products we have, talk about the value we're providing and to get those extensions. So I just want to make sure that this stuff doesn't just happen. There's a lot of work in the leadership and the success team as well as every single success member of that team, the support organization, the delivery organization, it really talks about how you treat your customers and their willingness to continue to sign these longer-term arrangements with you. So really proud of the work that, that team did in 2024 and look forward to it in '25.
Operator: Our next question is from the line of Dominick Gabriele with Compass Point.
Dominick Gabriele: I was just curious if you could talk about the pricing and competition for new deals versus renewals. You're having some profitability success, it looks like. And do you believe you have pricing power given the demand for your products versus some of the other peers? And would you consider your products, a premium product that your banks are willing to pay extra for? And I have a follow-up.
Matthew Flake: Yes. I think if you look at ASPs, they were -- in '24, they were just slightly down. That's more because of the mix that we had. In '23, we did more Tier 2s and Tier 3s. Every deal is competitive. Everybody is battling for it. You see more pricing pressure on retail than you do on commercial, and we do get a premium for our products. And there are people out there that are buying business, and that's just what happens. But we play the long game. There's a lot of people that we've lost deals to over the last 20 years, and we picked them back up in the long run. So as I said earlier with one of the earlier questions, commercial banking is not something that people are going to take a chance on somebody, they're going to build it. It's going to be here. We're going to get there. They need it to be fully functional with operational discipline and execution behind it and we have the ability to do that. And so we don't give that away because there's a lot of value to that and the customers realize that and the prospects realize it. But all of these deals are, whether it's a renewal or a net new, have a competitive dynamic to it, and that's just the market we operate in. But the sales team and the success team does a great job of value capture and making sure people understand the value they get when they get a single platform to run. It provides a better user experience, creates operating efficiency for the customer. Single platform allows us to roll products and features out faster and then ultimately, we get all that data. And all that data is becoming more and more valuable for us, whether it's fraud, as we talked about earlier, cross-selling products, pricing relationships, pricing loans, all of that is value to us. So there's a real differentiator in the platform and the sales and success team clearly have done a great job with that over the last several quarters and years.
Dominick Gabriele: Yes, it seems to certainly show up in some of these numbers. So -- and then could you just break -- I was wondering if you could break down the year-over-year margin improvement on the long-term guide, the 360 basis points. How much of that is due to scale versus costs versus product mix? And is there any one of those that kind of creates an outsized benefit for the total company? Or is it sort of like 1/3, 1/3, 1/3? Any help there would be excellent.
Jonathan Price: Yes. The way I would say -- characterize it overall is, clearly, the revenue mix shift towards subscription is an ongoing beneficiary to both gross margins and the EBITDA margin guide you see there. But if you want to break down the expense leverage specifically, the way I would think about it is in '25 and even '24, it was really roughly, roughly 60-40 driven from OpEx leverage as opposed to cost of sales. And then as you move into 2026, you sort of see that dynamic flip to where you get quite a bit more leverage on the cost side from the gross margin line on the back of the cloud migration versus OpEx, still a contributor, but to a lesser extent. So it's sort of you kind of got to look at each year independently. But in totality, we're clearly benefiting from the overall mix shift and then obviously, certain expense initiatives and overall focus on profitability is driving in every year, different degrees of OpEx and gross margin scaling.
Operator: Our next question is from the line of Marc Feldman with William Blair.
Mark Feldman: On here for Chris today. I guess just thinking about Helix, in 2024, embedded finance making as a service was a massive target for the regulators. Under the new administration, do you think there's going to be any upside in demand for embedded finance products from your customers or going forward?
Jonathan Price: I think the way I would think about it is on the fintech side, that market has shifted to where the most likely folks that are going to enter this market have to have scale and have to work with a bank that's really committed to this business because it's all going to run through the financial institution now. The days of middleware providers and spreading out all of the different services that are required to run a BaaS program are all getting concentrated around the top 20, 30 and over time, it will be more than that BaaS banks that really know how to run a program soup to nuts. From a financial institution landscape, as they start thinking about the Helix opportunity, I think it's interesting to see that their appetite in that context of controlling the entire BaaS program is looking for other core alternatives to run those programs. So while historically, Helix might have partnered with a bank of record to go sponsor one of our customers that we go find in the market, now the institution is doing it all, and they just need a core to go do that with. So that's really how I would characterize the change sitting here in early 2025 compared to '24. And I think it sets us up well as a differentiated product in the space. But I wouldn't say that the administration change or the regulatory headwinds that maybe people saw and now maybe are alleviated changes that dynamic or those dynamics.
Kirk Coleman: Yes. Ironically, the challenge is that a lot of people saw in '24 highlighted our strengths. And a lot of those strengths, although they're regulatory related, they're all operational in nature. And banks are just very focused on that. We think it will be good for us in the long run.
Mark Feldman: Got it. No, that's super helpful. And I guess just a second one on Innovation Studio. Good to see the bookings doubling year-over-year. Is there any way to break that down? Is it -- and I know 90% of wins cited in 2024 Innovation Studio as a driver. But just thinking about, is it new customers adding? Or is it growing new solutions and partner -- taking on new solutions for partners there?
Jonathan Price: Yes. We haven't quantified it. We tried to just share that like the magnitude is growing. Obviously, the year-over-year doubling. We talked about how this is a high-margin revenue stream because of the net revenue treatment. And to answer your last question, it is all of the above. It is impacting that new win significantly. When we think about adoption by our customers, we talked about 3 years ago when this went GA, we had about 20 of our financial institutions as early adopters. And today, we have over 400 of the 450 live digital banking customers that are using it in some form or fashion today. So we're seeing a 2-sided marketplace that our customers and these products are finding each other and are starting to be utilized, but we're still in the early innings of really driving the bookings and revenue opportunity, and that's what we're excited about going forward.
Operator: And we have the final question today from the line of Dan Perlin with RBC.
Daniel Perlin: I just had a question on kind of the level of absolute dollar increases that we're seeing in kind of the backlog here. I think it increased sequentially $189 million, that's up from $78 million I think last quarter. So -- and I know it could be lumpy. But the question, I think, is are there just deal sizes that are just getting bigger as a result of the size of the clients to now have kind of in your portfolio? Or is there just a greater appetite for incremental spending kind of in the current demand environment?
Jonathan Price: Yes. When you look at it at any 1 quarter, Dan, you really got to look at like, for example, the fourth quarter, the $189 million you referenced, like that is our seasonally strongest renewals quarter, and renewals have the largest contribution to the backlog just given the term and the size of those deals. So certainly, size on the net news side matters. But really in any one quarter, the biggest driver of the magnitude of that number will be the renewals in scope and then potentially out of renewals that -- out-of-scope renewals that get done that I talked about earlier. But that is really the driver. There's clearly upward pressure on the number as overall deal sizes increase, too. But the bigger driver in any one period is going to be just the renewal nature of that quarter.
Operator: Thank you for your call. And ladies and gentlemen, with that, that will conclude the Q2 Holdings Fourth Quarter and Full year 2024 Financial Results Conference Call. Thank you for attending. Have a great afternoon. We'll see you next time.